Operator: Good afternoon, and welcome to Arthur J. Gallagher & Company’s First Quarter 2025 Earnings Conference Call. Participants have been placed on a listen-only mode. The lines will be open for questions following the presentation. Today’s call is being recorded. If you have any objections, you may disconnect at this time. Some of the comments made during this conference call, including answers given in response to questions, may constitute forward-looking statements within the meaning of the securities laws. The company does not assume any obligation to update information or forward-looking statements provided on this call. These forward-looking statements are subject to risks and uncertainties that can cause actual results to differ materially. Please refer to the information concerning forward-looking statements and Risk Factors sections contained in the company’s most recent 10-K, 10-Q and 8-K filings for more details on such risks and uncertainties. In addition, for reconciliations of non-GAAP measures discussed on this call as well as other information regarding these measures, please refer to the earnings release and other materials in the Investor Relations section of the company’s website. It is now my pleasure to introduce J. Patrick Gallagher, Jr., Chairman and CEO of Arthur J. Gallagher & Company. Mr. Gallagher, you may begin.
J. Patrick Gallagher, Jr.: Thank you. Good afternoon and thank you for joining us for our first quarter 2025 earnings call. On the call with me today is Doug Howell, our CFO; and other members of our management team. We had a fantastic first quarter. For our combined Brokerage and Risk Management segments, we posted 14% growth in revenue, 9% organic growth, reported net earnings margin of 23%, adjusted EBITDAC margin of 41.1%, up 338 basis points year-over-year, adjusted EBITDAC growth of 26%, our 20th consecutive quarter of double-digit growth, GAAP earnings per share of $3.29 and adjusted earnings per share of $4.16. Another excellent quarter by the team. Moving to results on a segment basis, starting with the Brokerage segment. Reported revenue growth was 16%. Organic growth was 9.5%, which included about 1 point of favorable timing. Even without the timing impact, all-in organic was right in line with our expectations. Adjusted EBITDAC margin expanded 359 basis points to 43.4%, with underlying margins up a full percentage point. Doug will unpack this in his comments. Let me provide you with some insights behind our Brokerage segment organic. Within our retail P/C operations, we delivered 5% organic overall. U.S. organic was north of 5%, while our international operations, primarily in the UK, Canada, Australia and New Zealand, were closer to 4%. Our global employee benefit brokerage and consulting business posted organic of more than 7%. Shifting to our reinsurance, wholesale and specialty businesses, in total, organic of 13%. This includes 20% organic from Gallagher Re and 8% organic from our wholesale and specialty businesses. So we continue to report strong growth across retail P/C, wholesale, reinsurance and benefits. Next, let me provide some thoughts on the P/C insurance pricing environment, starting with the primary insurance market. Overall, the global P/C insurance market continues to behave rationally with carriers looking to grow in lines and geographies where there’s an acceptable return, and seeking rate increases where it’s needed to generate an appropriate underwriting profit. Breaking down first quarter global renewal premium changes by product line, we saw the following: property down 2%, D&O down 3%, workers’ comp up 5%, personal lines up 8%, casualty lines up 8% overall, including general liability up 5%, commercial auto up 6% and umbrella up 11%. Breaking down renewal premiums by client size, we continue to see a divergence between small to midsize accounts and large accounts. For small to midsize accounts, which we define as accounts generating less than $100,000 of revenue, renewal premiums were up 5%. For large accounts, our clients generating more than $100,000 of revenue, renewal premiums were up 1%. All that said, pricing is ultimately driven by client loss experience. Good accounts are getting some premium relief in certain lines. However, accounts with poor experience are seeing greater increases. Having a trusted adviser like Gallagher can help businesses navigate a complex insurance and economic backdrop by finding the best coverage for our clients while mitigating price increases, today’s environment is the ideal market for us to show our expertise, product knowledge and our data-driven capabilities. Let me move to the reinsurance market. First quarter dynamics, which is mostly influenced by January 1 renewals, reflected an environment that generally favored reinsurance buyers. Overall, reinsurers were able to meet increased client demand with sufficient capacity while remaining disciplined on terms. The Gallagher Re team shined with excellent retention and some fantastic new business wins. April renewals experienced similar trading conditions as earlier in the year, and as expected, saw a bit more downward pricing pressure. The January wildfire losses and continued casualty reserve increases remain a focus for the industry. But neither caused much upward movement in pricing given the large proportion of Japanese buyers in April. With that said, U.S. severe convective storm season is here, which then leads us to U.S. wind season. Time will tell how the year plays out. Regardless, Gallagher Re should continue to excel in this environment. Moving to some comments on our customers’ business activity. During the first quarter, our daily revenue indications from audits, endorsements and cancellations continued to be a net positive. While the upward revenue adjustments are not quite as high as last year, we continue to see solid client business activity and no signs of a meaningful global economic slowdown. Our daily revenue indications through the end of April are not showing any significant changes in our customers’ business activity from the prospect of tariffs. Our daily indications have historically given us some early insights into our clients’ business activity, so we will continue to watch these very carefully. We are also closely watching the U.S. labor market. And there continues to be a strong demand for new workers. The number of open jobs in the U.S. stood at more than 7 million, still at a level that is well above the number of unemployed people looking for work. We’ve also seen recent health insurance carry results show continued increases in the utilization and cost of health care. With these two trends as the backdrop, we are seeing more and more employers looking for ways to grow their workforce and control their benefit costs. Our experts can provide creative solutions to solve these challenges. Regardless of market and economic conditions, I believe we are well positioned to compete and to win. From our niche expertise, outstanding service or extensive data and analytics offerings, we have the resources and know-how to service any account of any size, of any complexity anywhere around the globe. So with a fantastic first quarter behind us, we continue to see full year 2025 Brokerage segment organic in the 6% to 8% range. Moving on to our Risk Management segment, Gallagher Bassett. First quarter revenue growth was 6%, including organic of about 4%. We continue to see excellent client retention and strong new business production. However, sold new business within the Risk Management segment typically takes longer to materialize into revenue. As these new client contracts incept and begin to generate revenue in the coming months, we are confident we will see stronger revenue growth in the second half of the year. Adjusted EBITDAC margin was 20.5%, in line with our March expectations. Looking ahead, we still see full year 2025 organic in that 6% to 8% range and margins around 20.5%. Shifting to mergers and acquisitions. During the first quarter, we completed 11 new tuck-in mergers, representing around $100 million of estimated annualized revenue. We also announced the acquisition of Woodruff Sawyer during the quarter and completed that in early April. That means through today, we already are at $400 million of acquired revenue. For those new partners joining us, I’d like to extend a very warm welcome to the Gallagher family of professionals. As for the pending AssuredPartners acquisition, not much to update relative to our March IR Day comments, we are working to respond to the second request. And we still expect to close in the second half of 2025. Looking at our pipeline, we have more than 40 term sheets signed or being prepared, representing north of $450 million of annualized revenue. Good firms always have a choice, and it would be terrific if they chose to partner with Gallagher. I’ll conclude with some comments about our bedrock Gallagher culture. During our Global Sales Award meeting in early March, our unique Gallagher culture was on full display. It was inspiring to watch the interactions among thousands of our colleagues across geographies, business units and product lines. I came away even more convinced that our greatest asset is our people and our biggest differentiator is our culture. And that is the Gallagher way. Okay. I’ll stop now and turn it over to Doug. Doug?
Doug Howell: Thanks, Pat, and hello, everyone. Today I’ll walk you through our earnings release, starting with some comments on first quarter organic growth and margins by segment, including how we are seeing these shape up for the full year 2025. Next, I’ll move to the CFO commentary document that we posted on our IR website and walk you through our typical modeling helpers. And then I’ll conclude my prepared remarks with my usual comments on cash, M&A and capital management. Okay. Let’s flip to Page 2 of the earnings release. Headline, Brokerage segment organic growth of 9.5% was a great quarter and it helps our – and it helps bolster our view that full year organic will be in that 6% to 8% range. And that range is in line with what we’ve been saying all year. As Pat mentioned, first quarter did have some favorable timing of about 1 point. So looking forward, we see some favorable timing again in the second quarter, but not to the same magnitude. And then all of the first half timing will reverse itself in the third and fourth quarters with no impact on full year 2025. So as we look through to the rest of the year, second quarter might be more like 6% to 7%. Then we will see the timing slip in the third and fourth quarters might mean third and fourth quarter organic of about 5% each. Causes a low noise across the quarters, but with a 9.5% first quarter, the math gets us back to a full year 2025 organic in that 6% to 8% range. That would be a terrific year. So flipping now to Page 4 of the earnings release, to the Brokerage segment adjusted EBITDAC table. First quarter adjusted EBITDAC margin was 43.4%, up 359 basis points year-over-year and above our March IR Day expectations. So let me walk you through a bridge from last year as we typically do. First, if we pull out last year’s 2024 first quarter earnings release, you would see we reported back then adjusted EBITDAC margin of 39.9%. But now I’m using current period FX rates that would have been 39.8%. Then organic growth of 9.5% gave us about 120 basis points of expansion this quarter. The roll-in impact of M&A and lower interest rates each used about 10 basis points of margin this quarter. Finally, as the footnote at the bottom of that table notes, the impact of interest income from the cash that we’re holding for the AssuredPartners acquisition adds us about 260 basis points of margin this quarter. Follow that bridge and it will get you to first quarter 2025 margin of 43.4%. That is really, really great work by the team. As for second quarter headline margin expansion, it’s still looking like we will be pushing around 300 basis points, again, driven by strong underlying margin expansion of approximately 60 to 80 basis points assuming organic in that 6% to 7% range and also interest income related to the cash we’re holding for AP plus a small offset by the roll-in of M&A and lower interest rates. Looking out towards the third quarter, we would still expect underlying margin expansion, and then we’ll also have the impact of investment income on the funds we’re holding for AP. So in total, think – we’re thinking expansion could be 250 to 280 basis points. This, of course, would change if we get AP closed before September 30. As for fourth quarter, we would hope we’d have AP closed, so we would have underlying margin expansion still, but lose the extra investment income, yet have AP’s fourth quarter results in our books. The punch line here is there’s nothing we’re seeing that causes us to change how we view underlying margin expansion potential. We believe at organic greater than 4%, we should see some underlying margin expansion. At 6% organic, maybe 60 basis points of expansion and at 8% organic, perhaps around 100 basis points of expansion. So again, there’s no new news here. We still believe we are positioned to expand underlying full year margins by about 60 to 100 basis points. Sticking on Page 4. Risk Management segment organic was 3.9%. That’s a bit below our 5% expectation due to lower new business revenue. As Pat mentioned, we expect this to improve in the second half of the year as we have already sold new contracts, but these have yet to start generating revenue. So we see organic moving back towards 6% to 8% throughout the year. Adjusted EBITDAC margin of 20.5% was in line with our March IR Day expectations. And looking forward, we still see full year margins again around 20.5%. Turning now to Page 6 of the earnings release and the Corporate segment shortcut table. For the adjusted interest in banking, clean energy and acquisition lines, all were very close to our March IR Day expectations. The corporate line was better than our March expectations due to some expense timing, a few favorable tax items, including the tax benefit from stock-based compensation, somewhat offset by an unrealized FX remeasurement loss. So now let’s move from the earnings release to the CFO commentary document that we posted on our website. First, as an overall statement, please read the headers and footnotes carefully on how these numbers in this document include or exclude the impact of AssuredPartners. That said, let’s flip to Page 3 and our modeling helpers across the board. First quarter 2025 actual numbers were fairly close to what we provided back in March. One thing to call out in our 2025 outlook are changes from FX for both the Brokerage and Risk Management segments. With the dollar weakening since mid-March, we have provided updated estimates for revenue and EPS impacts for the remainder of the year. Just take a look at the disclosures and refine your models. Turning now to Page 4 and the Corporate segment outlook for 2025. Within the corporate line of the Corporate segment, like I mentioned earlier, we had some favorable expense timing in the first quarter. So you’ll see some of that comes back over the rest of the year. We’ve increased after-tax expense by about $1 million per quarter for the remainder of 2025. However, the rest of our outlook for the Corporate segment is unchanged from six weeks ago. Flipping to Page 5 to our tax credit carryovers. A reminder – this is a reminder page, as of March 31, we have about $710 million of tax credits. We continue to expect additional cash flow of more than $180 million this year and even more in 2026 and later years. And don’t forget, this benefit will show up in our cash flow statement rather than our P&L. So it’s still a nice sweetener to fund a future M&A. Turning now to Page 6, the investment income table. We’ve updated our forecast to reflect current FX rates and changes in fiduciary cash balances. And you’ll see here that we’re still assuming two 25 basis point rate cuts during 2025. You’ll also see that we provided a separate line to show our estimates of interest income associated with the funds that we’re holding to pay for AssuredPartners. Shifting down on that page of the rollover revenue table. First quarter 2025 column subtotal is around $80 million and $92 million before divestitures. These numbers are consistent with our March IR Day expectations. Looking forward, the pinkish columns to the right include estimated revenues for brokerage M&A closed through yesterday. And just a reminder, you’ll make a pick – that you’ll need to make a pick for future M&A. Then below that table, we have a separate section for AssuredPartners. We show you what we expect for monthly pro forma revenues in purple. And then finally, continuing down on the page, you’ll see the Risk Management segment rollover revenues too. So moving to cash, capital management and M&A funding. We had no outstanding borrowings on our line of credit at March 31. And you might have seen that in early April, we amended our credit agreement. We extended the maturity date to April of 2030 and also increased our borrowing capacity from $1.7 billion to $2.5 billion. Our current cash position, potential borrowing capacity and strong expected free cash flow position us well for our pipeline of M&A opportunities. So even after the $13.5 billion for Assured paying for Woodruff and paying for the Willis Re earn-out, and after the other 11 deals we’ve already done through Q1, we still have over $2 billion of M&A capacity here in 2025 and another $5 billion of capacity in 2026 before using any stock. So our M&A strategy has a tremendous runway. So another excellent quarter in the books. As we look ahead, we see strong organic growth, a terrific M&A pipeline. We continue to see opportunities to improve our productivity and quality. And as Pat said, we have a winning culture. So it looks like we’re well on track for another great year. Back to you, Pat.
J. Patrick Gallagher, Jr.: Thanks, Doug. Operator, I think we’re ready to go to questions-and-answers.
Operator: Thank you. [Operator Instructions] Our first questions come from the line of Elyse Greenspan with Wells Fargo. Please proceed with your question.
Elyse Greenspan: Hi. Thanks. Good evening. My first question, I wanted to start with the pretty impressive 20% growth that you guys saw in reinsurance. Can you just try to break that down between what’s coming from pricing, retention, new demand? And then if you could give us a sense like if it’s new-new or if it’s business that you’re taking from peers? Because it’s a pretty strong number.
J. Patrick Gallagher, Jr.: Well, thanks, Elyse. And let me try to break down some of the 20% organic. First, the reinsurance folks, they’re just on fire. They had a great quarter and a lot of it came with the January 1 renewals. So let me break down three pieces. Our new business spread was responsible for more than half the organic this quarter. In fact, we had about 15 new client wins with more than $1 million each. These are big chunky deals. This is not similar to what we do on the retail side. Increased renewal premiums from carrier growth was another 5% or so, inflation, people buying more cover, as you see some rates come down, people have some room for additional cover, et cetera. And the remainder was some favorable timing. We have now better insights into it. And as I noted, it will reverse itself in the latter half of the year. But let me be clear, we said from the very beginning that we thought this was a group of folks that when working with our overall company when we integrated them into working with retail and our wholesale and specialty people, that it would be a good match. And that’s what we’re seeing. These guys and gals are just doing a tremendous job, and the new business was outstanding. Congratulations to them.
Elyse Greenspan: That’s great. And then my second question, so it sounds like you guys are still working, I guess, not a lot to update, as you said, like working on a response to the DOJ. So is that something, I guess, you guys would expect to respond? I think there’s like a 30-day clock once that happens. Is that something that, based on the timeline of a Q4 close, Doug, is that – would you expect to just respond to comments, I guess, that would be something that would happen in the Q2? Is that your expectation?
Doug Howell: All right. We’re obviously putting together all the information that’s been requested. And we’re working hard on it both on our side and then the AP team is doing the same thing. We’ll get that over to them sometime in mid-third quarter. And then it does start a clock tick, you may have the right to ask some questions. But there is a process here. First, getting that over, certifying to it and then they’ll have 30 days to get back to us on that.
Elyse Greenspan: Okay. And then I just – you mentioned that there was, I guess, some timing that impacted on the first quarter, some kind of – was it a pull forward from other quarters? I think it was 1% and then there was also going to be an impact in Q2.
Doug Howell: Yes. All right. So let’s go through that a little bit because I think it’s a good question. First, it doesn’t do anything to full year. Second, we’re just getting some better insights into the development of revenues. We’ve implemented our new reinsurance system last fall. So that’s up and running. We’ve got a new benefit system. So those systems help us look into the treaties and then to the expected headcount in our benefits business. So while the timing this quarter was mostly in reinsurance, let’s call that about two thirds, and the other one third is across our benefits business and a little bit in the specialty business. But without this timing, the first quarter for reinsurance was still in the upper teens, and it impacted specialty and benefits each about a point. But we’re going to have a little bit of that again in the second quarter, but to a lesser magnitude. And then again, the timing will reverse itself compared to last year in the third and fourth quarters. So no impact for full year organic. And we would say that this is the result of just putting in new systems and be able to make better estimates earlier on in the year.
Elyse Greenspan: Thank you.
Doug Howell: Thanks, Elyse.
Operator: Thank you. Our next questions come from the line of Greg Peters with Raymond James. Please proceed with your question.
Greg Peters: Good afternoon.
J. Patrick Gallagher, Jr.: Hi, Greg.
Greg Peters: Hi. So Pat, in your comments, I think it was – yes, Pat, it was you, that talked about the bifurcation of renewal pricing in the small to mid accounts, which was you defined as less than $100,000, and then the mid to large account. Just wondering if you could provide some more color, because the commentary we’re hearing in the marketplace around that seems to suggest that the larger account business might be under a little bit more rate pressure, specifically in the property areas.
J. Patrick Gallagher, Jr.: Well, that’s exactly what I said, Greg. I mean, I think we’re seeing in the large account area, and it’s the typical economics. You’ve got a bigger account, you got more swag, right? You can get a better deal. Especially if you’ve got good results. And these larger accounts are better managed from a risk management standpoint, and they’re seeing the results of that. Our people are clearly helping with that. You get down into the smaller accounts, all the way down to your personal lines, you don’t have the negotiating power. And at the same time, they don’t have the great results. So it’s a fluid market, but it makes sense to me that, if you’re bigger, you get a little bit better deal than if you’re smaller.
Doug Howell: Yes, it’s pretty linear too, Greg. If you look at, let’s say, over 100, we said it’s up a point or so or something like that. But when you go to like $25,000 to $100,000, maybe it’s 3.5%, 4%, you get a little lower than that $10,000 to $25,000 account, maybe you’re getting in the mid-4s. And then when you get less than $10,000 as that account size, now this is for premiums, you’re seeing it being up in the mid-5s. So it’s consistent even within that under $100,000 million, that the smaller it gets, the higher the rate increases. We saw that not going up as fast on the other side too, when rates were going up. So I don’t know if it’s as much they’re just a reversion to the mean, also that the smaller accounts are catching up.
Greg Peters: That makes sense. For my second question, my follow-up question, I’m going to pivot back to the pending acquisition of AssuredPartners. This has been – you’ve obviously been working very closely with them for the last several months now and trying to get this to the finish line. And I know you were pretty forthcoming with details about how you expected margin improvement to materialize and retention and organic revenue growth to develop. And I’m just curious, now that we’re here in May, if you have a different perspective or if there’s any different changes you have on the views on the opportunity with AssuredPartners for all of the areas I mentioned.
J. Patrick Gallagher, Jr.: Well, thank you for the question, Greg. But I’ll tell you, it’s actually gotten stronger. I mean we did our Board meeting this week, and that was, of course, one of the key questions. Their turnover is actually better than ours, not by a lot, by maybe 0.5 point to a point. So they’re staying very consistent with what they’ve had in the past. And that’s after bonuses have been paid, so we’re not seeing an uptick. I said, when we did the deal, I didn’t expect any breakage. We’ve seen a producer here or there depart, but that’s common business across all of our platforms. In terms of the people, we’ve had to be careful given the request for another bit of information, but there are certain work streams that have been allowed to continue. And I’ll tell you what, just every single day, our people are more affirmed than the fact that they’re dealing with folks that they really like. They understand the business. They love the business. And they can’t wait to get the two organizations together. There’s no waffling, there’s no momma crying. It’s people that just want to go out and sell a lot of insurance. And we’re very, very – more excited than we were in January.
Greg Peters: Got it. Just a detail question on that. Is the organic profile at Assured based on what you’ve seen just similar to what you’re seeing inside your retail business?
Doug Howell: Yes.
Greg Peters: Perfect.
Doug Howell: Yes. I mean they account for 606 [ph] differently, but let’s just say it is. You can throw a hat over them.
Greg Peters: Perfect. Thank you.
J. Patrick Gallagher, Jr.: Thanks, Greg.
Operator: Thank you. Our next questions come from the line of Mike Zaremski with BMO Capital Markets. Please proceed with your questions.
Mike Zaremski: Thanks. Good evening. Doug, the – or I think Pat might pull this too, the one point of timing benefit in Brokerage organic, is that in addition to the $26 million reversal on Page 6 of the CFO commentary, which I’ll admit is kind of over my head, in terms of its explanation?
Doug Howell: Yes. I think you’re calling out the fact last year – and we highlighted it last year, there was a gross up of revenues and a gross up of expenses as we implemented our conforming accounting policies on some historical acquisitions that caused the gross up. So we didn’t take credit for the $26 million as revenue last year and so we shouldn’t be measured by that again this year. So it’s just if you gross up the revenues, you gross up the comp on the revenues and a lot of those revenues triggered some extra earn-outs on it, it all washed to nothing. And we did talk about it last year, but it kind of sticks out a little bit more now, you can see that we repeated the note about that, on Page 6, I think it’s in the third footnote – or second or third footnote there. So it’s – we’re levelizing for a change in purchase accounting, which I think is 100% appropriate.
Mike Zaremski: Okay. Got it. I’ll make sure to go through that. Switching gears a bit, a question on also Brokerage organic. The RPC stat that you began giving out in recent years, which is helpful, I think it was 4% this past quarter. And organic, obviously tremendous, five-plus points above that. But if we look kind of going back a few years that you disclosed RPC – it’s much – the gap between organic and RPC is much narrower. Curious, should the gap stay wider than historical kind of implied by your guidance? And maybe part of the reason is reinsurance isn’t included in RPC. But any – am I asking a question you think is fair?
J. Patrick Gallagher, Jr.: It’s a fair question, Mike, but here are a couple of things. We were a different company than we were then. And number one, we’ve got many more large accounts. Our large account penetration continues to grow every month, and a lot of that business is on fees. Then also, when you take a look at the business and how we’re selling it, I think that we’re better sellers today. We’ve got tools that are just unbelievable in terms of helping our producers get out and drive new business, whether it be what we call Gallagher Win [ph], which is sales force, and then you’ve got the data analytics and Gallagher Drive, which I think most of you have seen these tools, we presented them to you. And they’re maturing now. They’re in the hands of solid producers that have got – any time the market is in flux. That’s great news for our producers up and down. And frankly, right now, it’s a great time and it’s a great message for our client base and our prospect base work with Gallagher. And we think we’ve got an opportunity to really do a great job on your pricing as well as your coverage and your terms. So we’re a different company, better opportunities, more fee business, larger platform, stronger players.
Mike Zaremski: Okay. That makes sense. If I could just sneak one last one, a follow-up in. You said that you’ll respond to the, I guess, government about the Assured data request in a number of months. Any color on why this data request would take such a long time to...
J. Patrick Gallagher, Jr.: I’ll give you one bit of color, Mike. We’re not talking a lot about this. That’s intentional. It’s a lot of data from both parties.
Mike Zaremski: Appreciate it, Pat.
J. Patrick Gallagher, Jr.: Sure, Mike.
Operator: Thank you. Our next questions come from the line of Mark Hughes with Truist Securities. Please proceed with your questions.
Mark Hughes: Yes, thank you. Good afternoon.
J. Patrick Gallagher, Jr.: Hey, Mark.
Mark Hughes: Pat, if I heard you properly, you said the workers’ comp up 5% versus I think it was up 1% last quarter. Is there something going on there or?
J. Patrick Gallagher, Jr.: Not really. I mean, we did actually plum for that among our Gallagher Bassett’s biggest line of covers, of course, is comp. We were asking ourselves, is there any systemic change there? We don’t see it most of comp is fee scheduled stuff. So I think it’s underlying comp costs are up with medical. But I also do think it’s a better economy than I think people are writing about. Our daily check-in on the economy is that our middle market accounts, in particular, are pretty robust.
Doug Howell: Yes. We’re still seeing good employment growth in those folks. We are – I think there is starting to be more chatter around medical inflation. So there could be some proactiveness there by the carriers on that in order to make sure they stay ahead of it. So it’s not a huge portion of our book really, but it is an interesting uptick that is – remember, that’s both rate and exposure. So it’s moving north and our educated guess is more exposure and higher medical inflation.
Mark Hughes: And then on the property market, Pat, what’s your sense of how this thing plays out? Obviously, it’s sensitive to cat losses. So a lot of it depends. But in your experience where you’ve had kind of a run-up and then you start to see it turn back a little bit, how is this going to work over the next few quarters, couple of years?
J. Patrick Gallagher, Jr.: Well, again, Mark, let me go back in my history, which is a long one now. The property markets, I would define it as fragile, right? When you’re minting money, it’s a great place to be. And of course, you’re going to give customers back some of the money you’ve made. But boy, the bill comes hard when it comes, and it’s not gradual. And so it just seems that we’re all concerned. In fact, you might recall a year ago or so, we surveyed over 1,000 of our customers, middle market customers, their number one concern was weather-related, climate change. And I think we all see it. We never had tornadoes in the fall. These convective storms have got every scratching their head. The prediction for the hurricane season is more storms than normal. Last year, there was that prediction as well, and it wasn’t as severe. But I’ll tell you, whoever saw California wildfire is coming, you combine those with some storms, both in California and around the world – well, the thing about property is it can change on a dime. Now we certainly hope that doesn’t happen because our customers have been shocked. You know how I feel about hard markets. I’d much rather have a market that’s pretty stable, lets us show our tools, help us contain the cost for our clients. It’s hard to explain to people why rates are jumping. You can do it in property because you can show them the losses. But I think you’re right to ask the question. It’s all well and good now. I think customers deserve a bit of a decrease. Carriers are on a little bit of an edge, if you will. They know they’ve got to give some money back. The market is competitive, but if the wind blows, the story could change very quickly.
Mark Hughes: Very good. Well, everything – it’s definitely crazy out there with the Cubs [ph] in first place. I’m with you.
J. Patrick Gallagher, Jr.: No, Mark. That’s the new normal.
Mark Hughes: Okay. All right. Thank you.
J. Patrick Gallagher, Jr.: We waited 100 years. Some people have a bad decade. We had a bad century. We’re back for good.
Mark Hughes: All right.
J. Patrick Gallagher, Jr.: Thanks, Mark.
Operator: Thank you. Thank you. Our next questions come from the line of David Motemaden with Evercore ISI. Please proceed with your questions.
David Motemaden: Hey, good evening.
J. Patrick Gallagher, Jr.: Hey, David.
David Motemaden: My question, I missed it, just on the RPC for this quarter. I think you had said it was 5% last quarter. It was trending around 4% in the first two months of the quarter, this 1Q. Where did that end up for 1Q? And within your outlook, what are you guys assuming for the rest of the year?
Doug Howell: So let me see if I can break that apart. What’s your question? You want to know what the renewal premium change was in the first quarter and what our outlook is for the rest of the year? Is that the question?
David Motemaden: Yes. What’s embedded in the outlook that you gave – the organic cadence that you gave?
Doug Howell: Basically about the same. We don’t see a further – property down 2%, call it flat. The casualty rates, we’ve had a lot of quarters on casualty rates as I look across the grid here, consistently in that 8% – 7%, 8%, 10%, 9%, 9%, 9%, 10% as I look at casualty rates coming across. So I think there’s still some concerns over casualty on that. So our outlook as we shape our organic for the rest of the year is assuming similar to what we saw right now, or this quarter.
J. Patrick Gallagher, Jr.: David, back to Mark’s comments before about a long time to look back. In my past experience, when markets became a little squishy, you’d see them fall quite dramatically across all lines. That is not what we’re seeing today. Umbrella cover up this past quarter 11%. Continuing push up of casualty. A little bit down on property. As we said in our opening remarks, this is a pretty logical market. So I don’t think you’re going to see any major change. And if we do, we’ll give it to you at our IR Day updates.
David Motemaden: Got it. Thank you. And then I guess I’m also wondering that difference between the middle market and large account. I guess I’m wondering just I know that there’s typically, the large account business is more cyclical and you guys are underweight that. But outside of that, when you look at your middle-market property book and small market property book, would you say that’s more SCS exposed and, therefore, the pricing might be a little bit more durable there? Or is that just – is that not the right way to think about it?
J. Patrick Gallagher, Jr.: I don’t like to think about it that way. And I’ll tell you why. Convective storms are – they seem to be localized in the Midwest. You got fire risk in lots of states I never thought of before, like New Jersey. But I don’t think that’s necessarily something you’d say is more akin to hurting those accounts, although you have to say there are a heck of a lot more small accounts than there are large accounts. There was 1,000 Fortune 1000 accounts. There’s 1,000 small accounts in Schaumburg. So I guess, in one sense, I’d argue, no, I don’t think those storms fall necessarily harder on one book of business than another, except by virtue of the fact that the numbers are just greater. I think it’s buying power. That’s what I’d say, David. It’s just real simple. If I get an account that’s going to pay me $100,000 or an account that’s going to pay me $100 million, who gets a better deal? $100 million.
David Motemaden: Yes. No, that makes sense. And then lastly so I might be nitpicking here, but I think you guys have called out 5% organic in U.S. retail and it sounds like that was maybe a little bit lighter than what you guys were talking about in March. I think you guys were saying 6%. Was there anything behind that outside of just the general RPC trends that we spoke about?
Doug Howell: Listen, I think that when you get down to a point one way or another on the organic, I would say they’re almost the same number. There could be a mix difference in there. When something moves a point, I’ll be honest, we don’t dig into it as deeply if something moves five points. So the point is consider it mix, but still, the point is on this is it’s still going up. And if you look across everything that we’ve said is we still have a market that is arguably flat in a couple of spots and going up in a lot of spots, right? So I think that the fact is there still is a need for rate. The carriers see that, you’ve seen that in the releases that they’ve had. And so I think that you blend all that together, we’re selling more than we’re losing, and we feel pretty good about a 6% to 8% year, that would be a terrific five- or six-year run on that.
David Motemaden: No, I definitely agree. Thank you.
J. Patrick Gallagher, Jr.: Thanks David.
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Katie Sakys with Autonomous Research. Please proceed with your questions.
Katie Sakys: Hi, thank you. I guess my first question, I wanted to go back to Doug’s comments on the cadence of Brokerage organic growth that you expect to see for 2Q, 3Q and 4Q? Back-of-the-envelope math, I’m kind of getting to the midpoint of the 6% to 8% full year guide. Which of those quarters, Doug, do you kind of see the most potential to upside versus your current estimates right now? And how does seasonality perhaps inform that view?
Doug Howell: I think the upside could come in the fourth quarter. I think if we have a storm season, and like Pat said, the property shifts, I also still believe that there’s going to be development issues, as you get into your third quarter actuarial reserves as they start to do their third quarter views of how they feel their development is. When it goes from a – into a paid loss triangle versus an incurred loss triangle, you kind of wake up to that when you do your actuarial reviews in the third quarter. So fourth quarter is probably the quarter where there’s the most upside.
Katie Sakys: Great. Super helpful. And then I apologize if this next question is a little bit nitpicky, but I noticed in the CFO commentary that the average EBITDAC multiple that you guys paid for your tuck-ins this quarter was slightly elevated at 11.5x versus the 10x to 11x guide. Is that just a result of some noise from one-off transactions? Or is there any additional color that we should be aware of there?
Doug Howell: If I peel apart the 11 that we closed in the quarter, I don’t see anybody really off the map on that. So being 10x to 11x is still pretty close, so.
Katie Sakys: Thank you.
J. Patrick Gallagher, Jr.: Thanks, Katie.
Operator: Thank you. Our next questions come from the line of Andrew Andersen with Jefferies. Please proceed with your questions.
Andrew Andersen: Hey, good afternoon. The supplemental commissions within Brokerage were pretty strong. Was there any timing benefit there? And just maybe more broadly, could you talk about how you’re thinking about that those line items, the contingents and supplementals?
Doug Howell: All right. So supplementals in the first quarter. We’ve had some pretty good work as we start to negotiate contracts for the coming year. I think the team has done a good job of getting more carrier relationships under our supplemental. So I wouldn’t say that there’s anything systemic there. Maybe there’s a couple of million flip between contingent and supplemental, but that carriers switch back and forth between those.
J. Patrick Gallagher, Jr.: They’re still, by and large, volume-based. Volumes up, things are good.
Andrew Andersen: Got it. And then just within specialty, could you maybe talk about the growth difference between open brokerage and MGA? And I suppose where I’m going with this is, I’m not sure if the MGAs are kind of weighted to property. But if we’re seeing some compression in property rate, could that impact your MGA growth in the back half of the year?
Doug Howell: Our binding business had a terrific quarter. I think they’re in the mid-teens. The Brokerage business was probably 5% to 6%, something like that. So I think between the two, Brokerage and binding, our affinity business had a terrific quarter. Captives were a little slow this quarter. But by and large, the binding business did a really great job. And the open brokerage is still continuing to show really, really nice mid-single-digit growth.
Andrew Andersen: Thank you.
J. Patrick Gallagher, Jr.: Thanks, Andrew.
Operator: Thank you. Our next questions come from the line of Meyer Shields with KBW. Please proceed with your questions.
Meyer Shields: Great. Thanks so much. Two big picture questions, if I can. First, if my memory is correct then, one of the benefits you were talking about when you bought Gallagher Re was that you could introduce reinsurance brokerage capabilities to all of the carriers that you place business with. And I’m wondering whether the 20% organic growth that you had in the first quarter, does any – is that still a factor? Or has that played out and this is just the execution of the current team?
J. Patrick Gallagher, Jr.: No, that’s a big factor. And that’s 15 deals. Again, we’re not getting granular as to who, what, where and when. But that’s exactly what we talked about. It’s coming out the way we dreamed it. These people are working together. We’ve introduced them to some other players that they didn’t know. They’ve introduced us to plenty of players we didn’t know. The cross-pollinization both in what we’re doing in retail and things like pools and what they’re doing with carriers that we didn’t know about has been very good for our retail team. And of course, we’ve got deep relations with carriers across the board that all of us at this table have traded with for years. And it’s not – it’s just really been a very positive development in our repertoire.
Doug Howell: Listen, in our culture, the fact that people run together to help each other, we’re really seeing that. We’re seeing a lot of joint meetings between our retail folks, our wholesale folks, our reinsurers. I just spent a week in London, and all the opportunities that we have with MGAs and capital formation using the reinsurance opportunities, I think we’re just scratching the surface of what Gallagher Re will bring to us.
Meyer Shields: Okay. That’s very helpful. The second question, I’m just trying to put this together in my head. You’ve got more leverage with the big accounts because they’ve got more swag, I think that’s the way Pat put it. On the other hand, there’s a higher propensity towards fees there. So overall, is the larger account business more or less sensitive, from your perspective, the revenue growth more or less sensitive to the cycle than in small and mid?
J. Patrick Gallagher, Jr.: It’s probably less because we’re on fees. I mean, that’s – there’s no question about that. And the nice thing about a fee account in a softening market is that you don’t get asked to take a pay cut for doing a better job.
Meyer Shields: Okay. Thank you.
J. Patrick Gallagher, Jr.: Thanks, Meyer.
Operator: Thank you. Our last question will come from the line of Cave Montazeri with Deutsche Bank. Please proceed with your questions.
Cave Montazeri: Thank you. I know you guys have a pretty good real-time pulse on the economy. Earlier in your prepared remarks, you mentioned the U.S. labor market was still strong. But just wondering in your conversations with clients, especially the middle market clients, what are they staying on the impact of tariffs on their business?
J. Patrick Gallagher, Jr.: I think that you’ve read all the stuff, Cave, that there is out there. I mean everybody’s got questions, and it’s too – it’s very client specific. What business are you in? Where does your product mix come from? What’s your supply chain? Is it something that you can change one way or another? How do your clients feel about it? The good news for us is that any time there’s consternation, anytime there’s change, anytime there’s concern, we’re there to help them through it. So if, in fact, tariffs create some additional loss costs or some additional value increases, there’s ways to mitigate that, whether we move towards a captive, higher retentions, change the language, et cetera, et cetera. But there’s concern as to what it means to them as individuals. And I’d say that’s much more pronounced in the middle and small cap market.
Cave Montazeri: Makes sense. My follow-up is on your international organic growth. I think you mentioned 4% if I remember correctly, I guess it’s not a bad number in absolute terms, but it is a bit of a drag on the overall brokerage organic. Could you give us a bit of maybe regional color on what you’re seeing internationally? Maybe like some regions being better than others?
Doug Howell: Yes. Cave, it’s a flat market. Australia and New Zealand first quarter is very slow because of their heavy periods are in the summer. The UK retail is hanging in there, kind of similar to our retail. So if you’re thinking about maybe a – call Canada flat and the rest of them maybe 5% to 6%...
J. Patrick Gallagher, Jr.: And remember, nowhere in the world has our casualty book. Nobody’s got our tort system. So we are seeing pressure on casualty rates and carriers are seeing pressure on their past casualty years.
Cave Montazeri: Yes, that makes sense. And if I could squeeze one more in on the topic of international, like from an M&A inorganic growth point of view, internationally, like where is your appetite geographically, where you think there’s going to be good opportunities to grow in the future?
J. Patrick Gallagher, Jr.: Well, first of all, we now trade extensively throughout the world. As we said in our prepared comments, there’s not an account anywhere in the world we can’t do, of any size. But if you take a look at premium, written premium, that’s the ball we’re following.
Cave Montazeri: Thank you.
J. Patrick Gallagher, Jr.: Thanks, Cave. Well, thank you, everyone, for joining us this afternoon. We had a great first quarter and a great kickoff to 2025. It’s important that we think the 57,000 colleagues around the globe for doing the work that creates these results. Their creativity, dedication and unwavering client focus is what really makes these results. Thank you all, and have a great evening.
Operator: Thank you. This does conclude today’s teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your night.